Gordon Sanghera: Good afternoon, and welcome to 2022 Interim Results Presentation. I'm going to give you a short introduction to the first half of the year and run through key business highlights, then Tim is going to walk you through our financials in a bit more detail. We saw continued momentum in our business in the first half of 2022. Revenues in our core life science research tools business grew 34% year-on-year on a reported basis and 30% excluding FX revenue from Emirati Genome Project and COVID sequencing. And again, as I've said, Tim will cover this in a bit more detail later. The total revenue in the first half was £122.3 million, which includes a settlement of our DHSC contract for legacy COVID diagnostics as we announced in April. Looking ahead, we continue to expect full year revenues to be within the guidance range of £145 million to £160 million. We are in a strong financial position with £602.6 million in cash. Here is a summary of the key highlights in the first half of 2022 and the growth drivers in the business. We continue to see strong growth across the user base. The total active customer accounts at 30th, June 2022 totaled more than 7,300, that's up from approximately 6,300 at the end of 2021. There has been a rapid increase in publications with over 1,000 publications by the Nanopore community year-to-date, highlighting applications across a number of scientific research areas, including human, cancer, animal, plant and pathogen. So we continued to see a very broad and diverse customer user base.  In addition, we continued to invest in scaling up of our manufacturing operations and automation of manufacturing operations to meet growing demand. We have increased our headcount to more than 900, up from approximately 800 at the end of 2021, with particular focus on expansion of our commercial operations & sales and marketing teams. We've appointed a new Non-Executive Chair, Duncan Tatton-Brown and we have focused on driving growth through innovation. So, just delving a little bit deeper into the innovation drivers of growth in the first half. In terms of our platform, we have upgraded our chemistry to 10.41 and Kit 14 and we are replicating accuracy at 99.6% for single strand simplex accuracy and 99.92%for duplex accuracy in the hands of customers. Just to remind you, duplex is where the second strand follows the first strand, give you very high accuracy. Let me try and upgrade. The P24 and P48 devices have been upgraded for the latest chemistry I’ve just described. And PromethION compute has been upgraded with an NVIDIA A100, which is 2x to 4x faster than the existing compute systems. When we couple this upgrade to the Remora real time methylation, we have the capability to deliver the most comprehensive technology for characterizing methylation from native DNA.  P2. We have launched P2 early access shipment have commenced. P2 is designed to make high throughput sequencing more broadly accessible at low cost. We are seeing a very strong order book for P2. Short fragment mode, we have released short fragment mode. This enables Nanopore sequencing to read short fragments anything 20 base pairs upwards and targeting applications such as cell free DNA in the liquid biopsy space.  I would like to remind you, Nanopore is the only platform that enables short to long to ultra long sequencing on the same platform.  So that is a summary of our platform innovation growth drivers in half one. I'm going to hand over to Tim to get into details on numbers. In the second part of this update, I will talk about the use cases that are drivers for technology adoption and growth. Over to you, Tim. Thanks. 
Tim Cowper: Thank you, Gordon. Good afternoon, everyone. We are pleased to present our interim results for the six months ended 30th of June, 2022. Revenue in our core life science research tools business grew 34% to £70.6 million compared to the prior year period. This growth is driven by innovation and reflects our diversified customer base with particularly strong revenue growth in our S2 and S3 customers.  Total revenues in the first half were £122.3 million, which includes £51.8 million of revenue from the conclusion of our COVID testing contract with the Department of Health and Social Care compared to £59 million in the prior year period. LSRT gross margins increased to 54.8% from 51.1%. This was driven by recycling of electrical components and improvements in manufacturing techniques and automation.  Adjusted EBITDA and alternative performance measure was a loss of £34.6 million compared to a loss of £19.2 million for the prior year period with higher gross profit offset by increased operating expenses in particular related to headcount to support our long-term sustainable growth. Cash, cash equivalence and treasury deposits were £602.6 million compared to £618.2 million as of 31st of December, 2021.  As I mentioned, core LSRT revenue increased 34% to £70.6 million in the first half compared to £52.6 million in the prior year period. COVID sequencing revenues did not decline as quickly as expected in the first half accounting for an estimated £15 million to £18 million of LSRT revenue in the period, compared to approximately £6 million to £8 million in the first half of 2021.  This increase was primarily due to the spike in testing from the Omicron wave that continued into the first part of this year, the release of our Midnight Kit for COVID sequencing, as well as the increased COVID sequencing activity in China. COVID runs peaked in December and January, and then began to decline. We are now seeing a significant decline.  Revenue from the EGP was £5.8 million in the first half compared to £9.8 million for the prior period. This has been affected by the 5 million to 7 million of revenue that was pulled forward into 2021 as previously discussed in March.  Foreign exchange has been affected by movements in the dollar, offset to some extent by the weakening of the Euro and Japanese Yen. The effect on the first half has been small as average exchange rates moved to just over $1.31 to the £. Adjusting for EGP revenues, COVID sequencing revenues at the midpoint of the estimated range and FX LSRT revenue increased by more than 30% year on year.  Growth in consumables revenue was a key driver of LSRT revenue growth accounting for 67% of LSRT revenue in the period. We also continue to drive customer expansion with Starter Packs accounting for 25% of LSRT revenue in the first half. Starter Pack revenue grew 23% year on year to £18 million. This is mainly from acquiring new customers, but also includes existing customers upgrading to new devices.  As a reminder, a Starter Pack consists of the use of the device and all of the consumables that are needed to become familiar with the technology. Customers do have the option to purchase the device upfront, which we call CapEx, which is also included in the Startup Pack revenue number.  Consumable revenue grew 36% year on year to £47.3 million. This growth reflects our continued focus on introducing the customer to the technology and then driving revenue growth through the sale of consumables.  As a reminder, consumable revenue includes MinION and PromethION flow cells together with the sequencing kits needed to run the experiments. Most of this growth stems from the broad LSRT user base with a smaller proportion attributable to the net movement from the increasing COVID sequencing offset by the decline in EGP consumable use.  Other revenue of £5.3 million includes new product introductions, such Flongle and VolTRAX as well as annual software license and device warranty renewals.  Turning now to performance across our customer groups. As a reminder, we focus on our customers and segregate them by revenue size into three categories: S1; S2 and S3. Our growth in the first half of 2022 reflects our continued strategy of diversifying and growing the number of customers. In the 12 months to 30th of June, 2022, we had more than 7,300 active customers compared to approximately 6,300 for the financial 2021. A breakdown of these numbers is included in the appendix slides. Comparing the first half revenues of 2022 to 2021 shows that the key drivers of growth were the S2 and S3 customer groups.  Notably, revenue in the S3 customer group, excluding the EGP grew 94% year on year to £18.8 million. This growth in the broad range of S3 customers was partly offset by the EGP as previously discussed. S2 revenue grew 36% year on year to £24.4 million in line with our overall growth rate. We have previously talked about the S2 space being our sweet spot over the medium term, as we can offer large scale economics to labs that have previously had to work with service providers and medium throughput devices.  S1 revenue increased 16% year-on-year to £14 million. As a reminder, our S1 customers are our genomic explorers, a core part of our diverse user base. We typically interact with these customers electronically through our online portal and in our community. This category now includes revenues from our new long-term distribution partnership with Avantor. Indirect sales include sales through distributors mainly in China, South Korea and India. Revenue in this category was up 150% year-on-year to £7.5 million, primarily driven by increased sales through Chinese distributors in the first half. Moving to regional results. We continue to strengthen our commercial teams, particularly focusing on North America and Europe. This is having a significant effect in how we are getting to know our customers and helping them to achieve higher utilization from our devices. This has been reflected in stronger sales growth in these regions.  Revenue for the Americas region, which is primarily the U.S. and Canada, was £23.3 million, growing 56% compared to the prior year period. Revenue in Europe was £21.4 million, growing 34% compared to the prior year period. Revenue in the rest of the world was £19 million, growing 68% compared to the prior year period. This was primarily driven by strong growth in China in the period, which totaled £8.5 million in the first half. Revenue in the United Arab Emirates has decreased to £6.9 million as discussed. In the first half, we successfully managed our supply chain despite a challenging environment, where we continue to see increasing pressure on the cost, quality and reliability of product supplies, particularly electronic components. Despite these conditions, LSRT gross margin increased 3.7 points to 54.8% primarily driven by manufacturing innovation and increased levels of recycling of electrical components in many of our products. Overall gross profit, including the DHSC settlement was £78 million, representing a gross profit margin of 63.7% compared to gross profit of £30.2 million or 51.2% in the first half 2021. Looking ahead, further improvements in margins will be achieved through innovation, increased automation, continuing to invest in taking control of our supply chain, improved design and further recycling of components. As a reminder, consumables typically offer higher margins than Starter Packs, typically over 65% for a step published consumables and lower for Starter Packs as previously discussed. MinION flow sales are established and continue to offer higher margins with continual improvements in PromethION flow sales still being rolled out. Operating expenses increased year-on-year, reflecting an increased investment in innovation together with expansion in our commercial infrastructure. In terms of headcount, we ended the first half of the year with more than 900 employees, up from 803 at the end of 2021. Reported R&D expenses show a decrease from £30.6 million in the first half of 2021 to £25.2 million in the first half of 2022. R&D is at the core of everything that we do. We have had a substantial increase in the resources applied to R&D in the period in order to drive our innovation pipeline.  Average R&D headcount has increased 34% year-on-year to 358. The reported R&D figure has declined predominantly driven by an adjusted item. The reduction in the share price has caused a credit of £9.4 million on national insurance on pre IPO share rewards in the period, compared to a £6.4 million charge in the first half of 2021.  Adjusted R&D expenses, including capitalized development costs increased to £43.6 million in the first half of 2022, compared to £28.5 million in the first half of 2021. Adjusted R&D including capitalization as a percentage of life science research tools revenues was 62% compared to 54% in the first half of 2021.  SG&A costs for the period increased to £75.7 million compared to £42.8 million for the prior year period. This includes a charge of £35.4 million related to the share base payment on the Founder LTIP compared to a charge of £0.9 million in 2021.  In addition, there is a credit regarding national insurance on pre IPO awards of £11 million compared to a charge of £4 million in 2021. This increase in year-on-year spend was predominantly driven by headcount, increased sales and marketing costs in the period as we returned to face-to-face meetings following the pandemic, as well as the increased costs of being a public listed company.  At the 30th of June, 2022, the number of sales, marketing and support staff had increased approximately 60% since June, 2021. This is in line with the commitment we made at IPO to double our sales and marketing resources over the following 18 months. Adjusted SG&A expenses of £49.9 million represent 71% of LSRT revenues in the period compared to £37.9 million or 72% in the prior year period.  Lost before tax for the period was £27.6 million compared to £44.4 million in the prior year period. This decrease was driven by the higher gross margin due to the settlement of the DHSC contract and higher LSRT gross profit offset by higher operating expenses.  Adjusted EBITDA and alternative performance measure was a loss of £34.6 million, compared to £19.2 million for the prior year period following adjustments for the settlement of the DHSC contract, the Founder LTIPs and employers’ social security costs on pre IPO share rewards.  Now turning to our balance sheet. We ended the first half with £602.6 million in cash, cash equivalents and treasury deposits compared with £618.2 million at the end of 2021. Inventory balances increased in the first half to £73.1 million, compared with £63.1 million at the end of 2021.  The increase in inventory reflects our strategy of increasing stock levels of core components to manage global supply chain risk and to continue to ensure that we have the necessary materials to meet our growing customer demand. Moving to guidance. For the full-year 2022, we continue to expect revenue in the range of £145 million to £160 million. This guidance assumes a decline in COVID sequencing revenue in the second half of 2022. A full-year revenue of approximately £15 million to £20 million from the EGP that was lower than previously anticipated. Over the medium-term, we continue to anticipate revenue growth at a compound annual growth rate of more than 30% and gross margins greater than 65%.  Based on our current development and commercialization plans, we continue to target adjusted EBITDA breakeven in 2026. For the full-year 2023, we continue to expect LSRT revenue to be in the range of £190 million to £220 million. Our full-year 2023 gross margin target of greater than 60% also remains unchanged.  The current supply chain environment remains challenging. We continue to focus intensely on our supply chain in order to meet our growing customer demand for our products.  With that, I will turn the call back to Gordon. 
Gordon Sanghera : Thanks, Tim. I want to finish off by discussing how our technology validation is important in driving our medium and long-term growth. So, just to remind you, our electronic sensing platform is scalable and the platform is designed to fit the biological question customers are trying to ask. The price points at which customers can access DNA RNA sequencing shifts with Nanopore sequencing from large batch based mainframe multimillion dollar systems to very low cost systems, and that low cost is really important driver of growth through accessibility. We are able to provide real time streaming of DNA RNA information. And as I've said earlier, there are over 1,000 publications year to date.  A key feature of Nanopore sequencing is the richness in content that we provide. We are uniquely positioned to provide native DNA. We are the only company in the world that reads native DNA, and we can read short fragments as I spoke about earlier, and ultra long fragments on the same platform. We can read single nucleotide mutations that you can get with traditional systems, but we can also, because of the nature of reading the native DNA, look at direct methylation, which of course is important in all cancers. We can look at structural variations because of the features we have in long reads. And we can look at things like copy number variations, really uncovering dark or camouflage regions of the genome. Something in the region of 30% of all human diseases are currently not available to understand because of short read sequencing limitations. A couple of interesting use cases I would like to highlight. The methylation detection of cell free DNA, it was a paper published in Stanford by Hanley, and they looked at native DNA and this was actually an example here that looks at short fragment mode. So, we're looking at cell free DNA, which will be important in liquid biopsy applications. As I'm sure you know, liquid biopsy is when we have cell free fragments of cancer DNA that we pick up much earlier than traditional cancer scanning technologies.  And this paper from Stanford chose the cell free native DNA analysis for healthy controls and colorectal cancer samples. And what we see is that, the cancer samples have a clear elevated level of methylation. This work highlights the potential to not only capture this level of methylation, but to track treatment by correlating to a reduction in methylation, which they also demonstrated. We have continued to deliver platforms for SARS-CoV-2 surveillance, particularly in the first half of the year. We have placed the MinION and GridION platforms in over 85 countries, and we are now looking to expand beyond SARS-CoV-2 surveillance.  And we have, as we reported previously, some exciting projects going on specifically, pneumonia, meta genomics in intensive care. We have a screening workflow that we have been doing a clinical proof-of-concept on. We have increased the number of patients in the first half of the year from 100 at the end of the year to 250 patients and we have seen over 45% of patients had a drug resistant strain of infection that was identified in hours versus 3 to 4 days based on traditional path-lab methods. In addition, 15% of patients had infections that traditional path-lab was unable to identify, but Nanopore could. On the TB front, we've now completed a 400 TB patient trial in Tbilisi, Mumbai and Cape Town with our meta genomic workflow that identifies over 200 drug resistant strains of TB. This trial is grant funded by Unitaid and led by a FIND, the Foundation for Innovative Diagnostics and has met the sensitivity, specificity and turnaround time criteria as defined by the World Health Organization, who are looking at drug resistance strains of TB. We have also been involved in releasing a workflow for monkeypox in July and we have seen the rise in those cases from a few to over 16,000 at the end of July. I have talked very much about human related examples of Nanopore sequencing. But as you know, this is a genetic sequencer and DNA is a source code of all living things. So we have applicability in plant genomes, only 0.16% of the 350,000 land plant genomes have been sequenced. This is because traditional short read sequencing platforms find it difficult to un-pick complex plant genomes. Nanopore's long reads can enable more plant genomes to be completed. In the parallel to meta genomic analysis of infectious diseases in humans, real time tracking of plant pathogens near to the point of infection is possible with Nanopore sequencing. And From the depths of the ocean to our collaboration with NASA and Space, we continue to push the boundaries of who and where customers can sequence.  So in summary, our strategy is to focus on discovery science and translational research. So that front end is where we apply all of our innovation and product releases to really drive the capabilities and the uniqueness of the data rich information that Nanopore delivers, and that will naturally flow into translation to patients, translation into practice, and ultimately translation to the community.  So to summarize, we have been focused on strong commercial expansion, expanding our teams both geographically and beefing up our customer facing tech services, field application specialists, and enhancing our digital interfaces for customers.  On the operational side, we have upgraded our logistics partner. We have focused on product automation and we continue to expand operations to meet the demand. And the centerpiece of driving adoption and growth are the R&D innovations from chemistry to direct methylation, to short fragment mode, to upgrading our P24 and P48 fleet, and also new products such as P2 solo. All of these come together to really enable us to take advantage of the customer demand that we have.  And with that, I would like to -- Tim and I would like to thank you for your time, and we will take questions.
Operator: And we will now take our first question from Odysseas Manesiotis from Berenberg. 
Odysseas Manesiotis: First one, could you please give us some color on recent customer feedback from recent launches from competition and in particular, Illumina’s Infinity, given that there's been a few months post announcement. Are you still confident they will not materially impact our commercial fraction? And then I have a follow. 
Gordon Sanghera: Okay. So with regard to Illumina's Infinity, there's not much more information other than their announcements a while ago. Just to remind you, Nanopore sequencing can do any read length. So short fragment mode from 20 base pairs, long thousands of bases, tens of thousands, ultra long up into 4.5 million, which is the longest read so far. And we are very confident of that broad offering that enables biologists to pick the read length they need. And in addition, we are measuring native DNA. So when we couple these two unique features, we don't think a sits together synthetic read is going to be a problem for us. 
Odysseas Manesiotis : Sounds good. Thanks Gordon. And one for Tim. On the gross margin guidance for next year, we're implying a more than 500 basis point step up from this half. So just to have a better understanding of how you expect each factor to contribute here, around how much of that 500 basis points step up would automation, operating leverage or the higher share of consumables take? 
Gordon Sanghera: When we look at our gross margins, the key driver is going to be the way we innovate our manufacturing innovation. So we are the early stages of being able to make operational improvements through the design of the product, the techniques we use to make it as well as recycling of components and automation is also a key factor. And we're just -- we continue to make iterative improvements in all of those areas. 
Operator: And we will now take our next question from James Gordon from JP Morgan. 
James Gordon : One macro questions to start, and then I had a clarification question. The macro question, economic sensitivity heading into a recession and how you think it compares to peers giving your different business model? It does look like maybe you've seen less pressure than peers have so far reported in the first half, Any signs of funding slow down or anything? And also macro, inflationary pressures on the P&L and ability to offset them with price or efficiencies. So that's the first question, please? 
Gordon Sanghera:  Do you want me to -- Yeah, fine. So I think the way we think about our boxes and I did mention in my talk accessibility at an affordable price point, particularly the Starter Pack model, we think that is a differentiating feature. So, we are not seeing that change and hence we are on target for our revenues for the year. And so with the peers, they talk about the pressures, inflationary pressures, they are large multimillion dollar installations and we are differentiated. But I wouldn't say any more than that. I'm not saying that's definitive, that's a hypothesis.  Tim, did you want to add some color to that? 
Tim Cowper: Yeah, I think one of the things that Gordon highlighted is our highly differentiated platform. What we're actually offering is people choose Nanopore for a reason because of the things we can do and the improvements we've made and continue to make we see us driving -- driving a lot of our revenue growth. 
James Gordon : And then the other question was just clarification on the guidance. So what does the reiterated guidance for revenues for this year assume for full-year surveillance revenues, and the full-year FX tailwind? Because I think, is it fair to say that you're now thinking you are going to get more surveillance revenues and the bigger FX tailwind than you thought when you first issued the guidance? And is there -- the other clarification was just UAE. I think you're now looking for lower sales this year. So is that going to be offset by higher sales next year or into 2024, or is it just there won't be as much sales? 
Tim Cowper: So the slowdown in COVID surveillance was -- didn't happen as quickly as we expected to, but there is still a decline. It has continued to decline so far this half. So those numbers will be smaller for the second half.  Looking at exchange rates, if you look at our average exchange rate in the first half of the year, it was $1.31. I'll talk about dollars, approximately two-thirds of our revenues are in dollars. We also have revenues in Euros and Japanese Yen, where there has been a devaluation. If you look at the -- obviously, the current rate is around $1.17. So it is -- my assumption is for the full year is a rate of -- an average rate of about $1.25.
Gordon Sanghera: And just on the EGP, we signed that contract in November '21. It's a three year program and it's 68 million over the three years. As we've stated from the outset, with population scale programs they do ebb and flow based on sample, recruitment and pausing to look at data and then taking the next phase of the project. But over the three years, we expect the full contract to be fulfilled. 
Operator: And we will now take the next question from David Westenberg from Piper Sandler.
David Westenberg: Hi. Thank you for taking the question. I want to continue kind of in the last -- the first question of the last speaker in terms of some of the lower guidance from your competitive peers. Now, your S3 revenue grew at 94%, I do kind of think that does match up with some of the high cost, high spenders that your competitors tend to target. So can you talk about some -- a little bit more of the dynamics that could be happening there? Are you seeing competitive wins where maybe they are removing their platforms and kind of committing to Nanopore sequencing? Or do you think you're just winning new customers faster or maybe are you just growing existing customers in that S3 category faster? Any kind of dynamic there would help out a lot?
Gordon Sanghera: It's a little bit of both. Remember, you can buy for the S3 customers and the S2s. You can have a CapEx model or you can have a Starter Pack model. So even though we are in those high-end where there is big experiments being done, the overall commercial offering is relatively low versus the CapEx that you need to buy traditional systems. So there is still a much lower barrier to entry. And then in terms of -- it's a combination of existing and new driven by some of the innovations such as Remora, methylation based calling, short fragment mode, Kit 14 chemistry enhancements, that drives both existing customers to do more and also new customers to enter. So it is a little bit of both in that category. I will say that --
David Westenberg: Got it.
Tim Cowper: And I'm just going to say some of that, 94% growth excluding the Emirati Genome Program was seen by some large COVID customers as well. So it is an underlying 94% growth in S3 revenue, some of that was COVID, just as a further clarification.
David Westenberg: Got it. Okay. No, I definitely appreciate that. And then getting -- sticking with that macro theme, can you talk about maybe some of the slowdown that the peers are also seeing in U.S. [indiscernible] and this is in just sequencing companies where we're hearing broadly from life science tools companies in general, that academic funding in the U.S. is definitely harder -- or definitely slowed down expenses, and even internationally some of the academic centers are having trouble accessing ancillary products. Are you seeing some of that same dynamics? And I'll stop after that question. 
Gordon Sanghera: Yes. I'm absolutely sure what our peers are saying in the market dynamics are correct. We seem to be somewhat buffeted from that. And I -- our working hypothesis is that it comes from the low cost of entry, the affordability and accessibility hypothesis. And so we think we are less prone to swings in those market dynamics, which I'm sure they're real if the market landscape and all the competitors are saying that we just seem to be buffeted from it to some extent. 
Tim Cowper: A key part of our stretch has been to grow the number and diversity of our customers, and that's important so that they will be subject to different factors. And another point to make is we have -- we made a commitment that we would increase the amount of resource -- customer facing resource in particular, in the U.S. and Europe. And we have made good progress there, and we continue to do that. So explaining how our technology works, really getting customers to understand that is a key part of our strategy. 
Operator: And we will now take the next question from Charles Weston from RBC. 
Charles Weston: I have two, please. First of all, just going back to the guidance for this year. You helpfully provided H1 growth on an underlying basis, excluding COVID, EGP and FX. Could you give us a sense of what assumption you have made on that underlying growth for H2 to get to the range for the full year, please? 
Tim Cowper: Sure. I think, so by underlying range, you mean excluding COVID surveillance and excluding the Emirati Genome Project, I'm assuming? 
Charles Weston: Yeah.
Tim Cowper: So one of -- so when we are preparing our forecasts, we look at the risk adjusted pipeline, we look at the underlying usage of consumables from our customers and how they're actually purchasing flow cells and kits. And we look at our orders received bucket, if you will, and we make our assumptions based on those categories.  I will just highlight one thing. If you are trying to compare, I don't know, first half to second half or if you're trying to compare to the first half of last year, I think one of the key items affecting this is exchange rates that you just need -- like a year ago, we were looking at $1.37. I've based -- we work in local currencies when we turn our opportunities and then we convert back to Sterling. Average rate for the year, I'm working on a expected rate about $1.25 -- $1.30 when I did the full-year results, if that helps. 
Charles Weston: I’ll try and piece that -- layer that into the model. My second question is on duplex. Could you just comment on how the rollout of duplex is going, how the yield is looking, what customer adoption is looking like, please? 
Gordon Sanghera: So, duplex is wrapped in Q20+ chemistry. So, that is 10.4.1 Kit 14 paired together. And it has some percentage of duplex through our continuous improvements programs. We continue to increase the duplex yield, but we expect customers to be combining simplex and duplex data, so that all helps in the mix. The key highlight is that we have transitioned from early access to full launch and in the hands of customers, both simplex and duplex accuracy rates are being replicated based on our posted initial data sets. 
Operator: [Operator Instructions] We will now take the next question from Paul Cuddon with Numis Security. 
Paul Cuddon: I've got two questions as well. I mean, firstly, the COVID surveillance in China, I mean falling away, I'm just wondering to what extent that's opened up new opportunities for you to -- for your -- those customers to be using your technology for different applications and to what extent that could be retained into H2 and beyond?
Gordon Sanghera: Sure. So one of the things that the pandemic has made, particularly we've noticed public health laboratories right at ministerial health levels. This pandemic has made people think about surveillance networks for infectious disease. And whilst there was a surge for Omicron sequencing, it's based on two years hard work with China. We are now a platform that has been adopted by the China CDC for its surveillance network of infectious diseases, and they are very interested as are many other countries in looking at menu expansion. That was one of the key sell points that we weren't selling a COVID box if you like, but we were actually selling a genomic epidemiological workflow for multiple infectious diseases, and COVID was the one that we were trading at that point.  So, there will be scope for menu expansion as it is part of now their surveillance network for looking at other infections in the future. 
Paul Cuddon: And secondly, for me, how do you see the market opportunity growing for the methylation sort of imprinting kind of application of the technology and somewhere that you are sort of unique versus competitors? 
Gordon Sanghera: So I mean, there has been growing momentum for some time now that methylation is an important marker. So this is a chemical modification in the C-base, which can occur overtime for cancers and what we offer is highly differentiated, in that we read the direct methylation of the C-base, because we are reading the native DNA. And there was some work published earlier in the year that produced a comprehensive Methylone to human genome. And that is the first time we have a very comprehensive map of methylation.  The existing technologies use something called by bisulfite sequencing and that requires a chemical manipulation that introduces bias and errors. So we are very excited about direct methylation. And then that's why I kind of picked as a highlight example, the work from Stanford on colorectal cancer, where there was a 7% methylation and this is direct native DNA from cell free fragments of cancer patients, where the controls were less than 2%. And interestingly, and this is a great potential use case and it is very early in this, but they were able to show how methylation read directly on ONT, was dropping away as a function of treatment. So I think the whole space is very exciting and we think it's going to be an area that really grows very rapidly, and our highly differentiated direct methylation will be at the center of this technology wave.
Operator: And we will now take the next question from [indiscernible] from Citi.
Unidentified Analyst: Hello. I have two questions, please. So the first one, just wanted to revisit H2 but in a different way. What is needed in H2 for Nanopore to land in the upper half of the guidance range? And do you feel more comfortable to be at the lower or the upper half of the range? And my second question is that, Kit 14 offers improvement in both accuracy and also speed depending on the choice of the customers. So have you been able to track on average? Which one is more prioritized by different type of users? And can you also comment on the order book for P2 solo? Thank you.
Gordon Sanghera: Let me do the Kit 14 and the P2 Solo first. So P2 Solo is in early access in the hands of customers. And I don't want to get into specific numbers, but we have a very strong order book for P2 and we are on-track to launch it later in the year.  With regard to KIP 14, we can offer multiple speeds, and the reason we have done that is, because accuracy is not -- it's a continuum. Sometimes time to result with a particular accuracy stat is more important, therefore you would use a higher speed and sometimes superior accuracy and time is not a factor. So the flexibility and the capabilities that Nanopore has to allow customers to control the experiment rather than a large box set in a particular way, and that flexibility we find always attractive to customers.  So in terms of how many people are using it at different speeds? That's a very good question. I think it's a bit too early to really get into the stats. But it is something that there's a lot of internal debates and betting going on about which one people want. I think the reality where is it'll be bimodal, they'll want both, it'll just be answering different needs. And we are that is part of the highly differentiated offering we have, the tech is designed to fit what the biologist wants.  And then on the numbers, I'll pass over to Tim. 
Tim Cowper: So just to talk about guidance. So our guidance hasn't changed. It is £145 million to £160 million for this year. I know that is a wide guidance, but that's where we feel we are right now. I think the important point to make is the real driver of our growth is the innovation, the product offering all of the improvements that we continue to make that Gordon's been talking about during this call. That is really what is going to drive our growth in the short term and the medium term. And so to answer your question, really that is where we are focused as a business on providing the best product offering for our customers. 
Operator: And there are no further questions. So I would like to hand back to Dr. Gordon for the closing remark.
Gordon Sanghera: Great. Well, thank you for your time everyone today. We have had a good first half of the year, and we're very excited and on track to hit our targets for second half of the year. The innovation that we'll be bringing to our customers, we believe will fuel that growth and keep us on track to hit the guidance for full year 2022. Thank you everyone for your time today.